Andrzej Matyczynski: Thank you for joining Reading International's earnings call to discuss our 2021 year-end and fourth quarter results. My name is Andrzej Matyczynski, and I'm Reading's Executive Vice President of Global Operations. With me, as usual, are Ellen Cotter, our President and Chief Executive Officer; and Gilbert Avanes, our Executive Vice President, Chief Financial Officer and Treasurer. Before we begin the substance of the call, I will run through the usual caveats. In accordance with the safe harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that will be addressed in this earnings call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings, and our remarks today are qualified in their entirety by the more detailed disclosures in our recently filed annual report on SEC Form 10-K. We undertake no obligation to publicly update or revise any forward-looking statements. In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP financial measures, which are segment operating income, EBITDA and adjusted EBITDA, are included in our recently issued 2021 fourth quarter earnings release on the company's website. We have adjusted, where applicable, the EBITDA items we believe to be external to our business and not reflective of our cost of doing business or results of operations. Such costs include legal expenses relating to extraordinary litigation and any other items that we can consider to be nonrecurring in accordance with the 2-year SEC requirement for determining when an item is nonrecurring, infrequent or unusual in nature. We believe adjusted EBITDA is an important supplemental measure of our performance. In today's call, we also use an industry-accepted financial measure called theater level cash flow, TLCF, which is theater level revenue less direct theater level expenses. We will also use a measure referred to as F&B spend per patron, SPP, which is a key performance indicator for our cinemas. The F&B SPP is calculated by dividing a cinema's revenues generated by food and beverage sales by the number of admissions at that cinema. Please note that our comments are necessarily summary in nature, and anything we say is qualified by the more detailed disclosure set forth in our Form 10-K and other filings with the U.S. Securities and Exchange Commission. So with that behind us, I'll turn it over to Ellen, who will review our 2021 full year and fourth quarter results and discuss our strategy for continuing to navigate Reading International through the lingering effects of the COVID-19 pandemic and into the post-COVID era, followed by Gilbert, who will provide a more detailed financial review. Ellen?
Ellen Cotter: Thanks, Andrzej, and thanks for listening today to our call. Despite the ongoing challenges from the COVID-19 pandemic, we're pleased to report that our fourth quarter 2021 financial results were our strongest quarterly results since the onset of the pandemic. Operationally, we're in a significantly better position than where we were in Q4 of 2020. At just under $50 million, our Q4 2021 consolidated total revenues grew by 232% compared to the fourth quarter of 2020. Blockbuster movies like Spider-Man: No Way Home, Eternals, Venom: Let There Be Carnage, and No Time to Die delivered stunning box office results that propelled our encouraging dramatic growth. At $47.2 million, our cinema revenues increased substantially by $35.1 million or 289% compared to the fourth quarter of 2020. Our Q4 2021 operating loss of $4.3 million represents the strongest results since Q1 2020. And our Q4 2021 EBITDA increased dramatically by $10.8 million or 137% to $2.9 million from a negative EBITDA of $7.9 million in Q4 2020 due to the performance of both our cinema and real estate operations. We achieved these results despite the fact that we were not fully operational across all markets. At December 31, 2021, we did not have any operational units. Cinemas, live theaters, and real estate tenants stayed closed because of COVID. However, during Q4 2021, certain operating restrictions continued to impede our progress. Most of our Reading Cinemas in New South Wales and Victoria in Australia were closed by government order from October 1 through October 10, 2021, and October 1 to October 28, 2021, respectively. Our Reading Cinema in New Lynn in New Zealand, which can represent over 10% of our New Zealand circuit box office, was closed due to government lockdowns from October 1 through December 3, 2021. Certain cinemas in Australia and New Zealand were subject to capacity restrictions throughout the fourth quarter. Our consolidated theater circuit in Hawaii, while open during the fourth quarter, also suffered from seating capacity restrictions for most of the quarter. Our Minetta Lane Theatre in New York City did not start public performances until October 8, 2021, when Audible, an Amazon company, opened with The Fever starring Lili Taylor. Taking into account these operational restrictions, our Q4 2021 results are even more impressive. Our belief that we're on a clear path to recovery is also reinforced by comparing our fourth quarter 2021 results to the quarter earlier in the third quarter of 2021. At just under $50 million, our Q4 2021 consolidated total revenues increased by 57% versus third quarter of 2021. Our EBITDA grew by 223% to $3 million versus the third quarter of '21. Our operating loss improved by 60% versus the third quarter of 2021. Through Q4, our global real estate operations continued to support the company. Our fourth quarter 2021 real estate revenues of $2.8 million reflected that almost 100% of our 72 tenants in Australia and New Zealand were open. Our 2 off-Broadway theaters were hosting public performances again for most of the quarter, and we had rent from our Culver City tenant for the full quarter. This quarter was the first fourth quarter that we lacked real estate rental revenues or income from our Auburn Redyard Center that was monetized during the second quarter to offset the impact of COVID on our cinema business. Despite the impact of the COVID-19 pandemic on our industry and operations over the past 2 years, including the fourth quarter of 2021, our team completed significant milestones related to our 44 Union Square project in New York City. We completed the construction of this New York City landmark, which serves as the Northeast anchor of Union Square. We refinanced our construction loan and now have a $55 million facility with Emerald Creek Capital. We negotiated a new exclusive brokerage agreement with CBRE, which was signed at the beginning of 2022. And we were also pleased to announce the signing in January of 2022 of a long-term lease with a leading national retailer for 3 levels of the building. To date, our 2 business, 3 country diversified business strategy, coupled with a continued conservative approach to operations, has allowed us to bridge to the time when pandemic conditions subsided enough to allow us to begin our rebuilding process. Throughout the pandemic, we relied solely on our own resources and took the steps that were, in our view, the most likely to protect our company, our stockholders, employees, lenders and other stakeholders, while at the same time preserving our company's future. We've reevaluated our real estate portfolio in light of our liquidity needs and capital constraints and monetized 5 of our real estate assets, all of which were primarily non-income producing land or assets that would have required substantial capital investment to achieve material enhancement in value. Collectively, we generated $142 million in cash. We ended 2021 with approximately $83.3 million in cash, cash equivalents on our balance sheet and reduced our outstanding global debt position by $48.1 million or 17% compared to December 31, 2020. While we were disappointed to sell future value-enhancing properties like Manukau and Coachella, our remaining real estate assets provide us with good opportunities to reinvest as guests return to our cinemas. For example, we retained within our portfolio, our properties on Third Avenue in Manhattan, the Reading Viaduct and other parcels in the Arts District of Philadelphia and our 4 parcels of real estate in downtown Wellington. Our progress comes despite our ineligibility for any federal funding in the U.S. through the Shuttered Venue Operators Grant program or the PPP program since we're a publicly traded company. Though we can't provide any assurance that we'll be successful, we will continue to pursue government funding that may become available in the future to further bolster our recovery post pandemic. Over the last few decades, our cinema business has provided the foundational cash flow that has supported the company's asset growth. Watching the audience return to the global cinemas in Q4 2021 and impressive numbers reinforced our confidence in the return of that steady cinema cash flow. Let me touch on the global box office first. Q4 2021 featured a terrific slate of movies with crowd-pleasing content offering both theatrical windows and great marketing campaigns, and despite the ongoing pandemic, audiences embraced the big action movies and returned to the cinemas to see Spider-Man, Eternals, Venom, and No Time To Die. And despite the ongoing pandemic conditions, we were also pleased to see families bring the kids back out to see Encanto and Sing 2. It's hard to argue against the movie theater industry when you think about such recent commercial box office successes as Spider-Man: No Way Home, which despite being released during the Omicron surge, has become the third highest grossing film of all time with a global box office to date of over $1.8 billion. Uncharted, an original non-franchise movie that opened and far exceeded its box office expectations. And The Batman, the 10th in the Batman franchise, which to date has grossed more than $485 million globally in 3 weeks. In 2021, our U.S. Specialty Cinemas also began to rebound, specifically our Angelika New York and Village East by Angelika. At the Angelika in New York City, director Wes Anderson's The French Dispatch had the highest opening weekend engagement in the U.S. with an opening weekend gross box office of $103,000, which outperformed the second best box office by almost $45,000. Paul Thomas Anderson's Licorice Pizza delivered $131,000 in opening weekend box office at the Village East by Angelika. The Worst Person In The World' Review: A Norwegian Rom-Com grossed under $100,000 at the Angelika New York in its opening week. Since the onset of the pandemic, Q4 was our first quarter of positive operating results for our global cinema division. The few box office examples I just mentioned reinforce our belief in the continued recovery of the global cinema business and demonstrate the global pent-up demand for experiencing movies on the big screen in a shared cinema environment. While our theaters experienced a roller coaster of closures and reopenings through 2020 and 2021, as of today, none of our cinemas are closed as a result of COVID-19 government closure orders. I mentioned at the start of the call some of the operating restrictions that our global cinema suffered through Q4 2021. Despite those operating restrictions, in Q4 2021, our global cinema total revenues increased by $35.1 million or almost 289% from just $12.1 million in Q4 2020 to $47.2 million. These Q4 2021 global cinema revenues represented 72% of our Q4 2019 global cinema revenues. For the full year 2021, our global cinema total revenues increased by $59.8 million or 89% to $126.8 million compared to the full year of 2020. Our 2021 global cinema revenues were 48% of our 2019 global cinema revenues of $262.2 million. Our Q4 2021 cinema operating income increased by $13.8 million or 117% to a positive $2 million compared to Q4 2020. And for the full year of 2021 compared to 2020, our cinema exhibition operating loss decreased by $26.4 million to a loss of $18.6 million. During the quarter and over the course of the full year, our global cinema team continued to deliver impressive food and beverage results. Our Q4 2021 F&B SPP set an all-time record high for any fourth quarter in Australia and New Zealand and came in at the second highest fourth quarter for the U.S. And for the 2021 year, we set an all-time F&B SPP record in each of the U.S., Australia and New Zealand. Our 2021 results included revenues from an elevated F&B menu, including liquor in Australia at the new Reading Cinemas in Jindalee and Millers Junction and our renovated consolidated theater at the Kahala Mall. Additionally, in an effort to achieve contactless F&B transactions, both as a response to COVID and in response to current labor shortages, during Q3 and Q4 2021, we launched F&B ordering online from our websites, including our mobile websites in Australia and New Zealand, allowing guests to preorder their food and beverage orders. To date, we've been very pleased with the results from this initiative. Our management team continues to proactively manage our theater-level cash flow across all 3 countries. We continue to negotiate occupancy cost reductions and deferrals with our various cinema landlords to address the fact that while our revenues are improving, we're not at pre-COVID levels. And we continue to strictly monitor operating hours, session hours and labor expense. Additionally, we continue to focus our CapEx only on improvements that will drive income. To date, we've not had any theaters closed due to foreclosure or lease terminations. More specifics about our U.S. cinemas. Our Q4 2021 U.S. cinema total revenues increased significantly by $23.2 million or 816% to $26 million compared to Q4 of 2020. Our U.S. cinema segment operating income grew to $400,000 from a loss of $10.7 million in Q4 of 2020. For the year ended December 31, 2021, U.S. total cinema revenues increased substantially by $32.5 million to $59.9 million when compared to 2020. Our operating loss decreased by $18.2 million to a loss of $21.1 million for the year ended December 31, 2021. This includes a onetime accrual for a $4 million settlement for the California wage and hour claim discussed in our SEC filings. As we reported earlier, following an extended construction shutdown due to COVID-19, we reopened our consolidated theater at the Kahala Mall in Hawaii on November 5, 2021, following a top-to-bottom renovation. This cinema now offers luxury recliners, a new cafe and bar, and an elevated F&B menu. During 2021, in the fourth quarter, we also commenced the renovation of our consolidated theater in Kapolei. On March 3, 2022, the cinema reopened with recliner seating in 8 of its auditoriums, an elevated F&B menu, and a renovation of the lobby areas. We've received questions about our upcoming cinema CapEx plans in the U.S. In 2022, our goal is to commence renovations on at least 1, maybe 2 theaters in the U.S. And in 2023, we plan to renovate an additional 1 to 2 cinemas. These renovation plans are expected to include conversions to recliner seating and the addition of facilities to serve an elevated F&B menu, and in some cases, adding one or more TITAN LUXE screens. Particular theaters have been targeted for renovation based on their remaining lease terms and their potential to improve theater level cash flow. These theaters are all in good locations that have been impacted by cinema renovations from our competition. Turning to Australia. Our Q4 2021 Australian total cinema revenues increased significantly by $10.1 million or 134% to $17.7 million compared to Q4 2020. Operating income increased by $2.2 million to $1.5 million from an operating loss of $700,000 in Q4 of 2020. Similarly, for the 2021 year, our Australian total cinema revenues increased materially by $22.8 million to $55.3 million compared to the year ended December 31, 2020. Operating income increased by $6.3 million to $2.1 million compared to an operating loss of $4.3 million for the year ended December 31, 2020. Reinforcing our confidence in the business, in 2021, we opened a new state-of-the-art Reading Cinema at Millers Junction in Victoria, which features 2 TITAN LUXE screens and a new 5-screen Reading Cinema at Traralgon in Victoria, just in time for Spider-Man: No Way Home in December of 2021. And throughout the fourth quarter of 2021, we progressed our designs for our new 8-screen cinema at South City Square in the Brisbane area, which will be our first new Angelika in Australia. We look forward to opening this theater in late 2022. And we progressed our plans for a new state-of-the-art Reading Cinema with TITAN LUXE in Busselton, Western Australia. Turning now to New Zealand. As of today, 11 of our 12 cinemas, which include our Rialto Joint Venture cinemas in New Zealand are open. Our Reading Cinema at Courtenay Central continues to be closed due to seismic issues, which predated the pandemic. I'll talk more about that property in a few minutes. Our Q4 2021 New Zealand cinema revenues increased by $1.8 million to $3.5 million compared to Q4 2020. Our operating income for Q4 2021 increased by $400,000 to $100,000 from an operating loss of $300,000 in Q4 of 2020. For the year ended December 31, 2021, our New Zealand cinema revenues increased by $4.5 million to $11.6 million. Our operating income increased by $1.9 million to $500,000 compared to the operating loss of $1.4 million for the year ended December 31, 2020. Now let's turn to our global real estate business. Our real estate operations continued to be more resilient to the profound impact of COVID-19 than our cinema business. Demonstrating the strength of our dual and diversified business strategy, we were able to capitalize on unrealized gains in our real estate portfolio to offset the drop in our cinema cash flows. With respect to Auburn Redyard and Invercargill, where we monetized those properties with operating cinemas on them, we leased back those cinemas so as not to diminish our cinema cash flow. Though we sold our Auburn Redyard Center in Australia in Q2 2021 to enhance liquidity during COVID. As of December 31, 2021, we have 72 third-party tenants in our remaining centers in Australia and New Zealand, ranging from cafes to supermarkets, pharmacies, non-cinema entertainment venues, and various medical users. During the fourth quarter, we successfully executed 5 new leases and 2 new lease renewals. Today, 97% of our third-party tenants in Australia and New Zealand are open and trading, with a few tenants being closed to complete new tenancy fit-outs. As of the fourth quarter of 2021, our international real estate portfolio had a solid occupancy rate of 91%. And in the U.S., we received Q4 2021 rental and licensing revenues from our 2 off-Broadway theaters in New York City, which are both currently holding public performances, our Culver City office tenant, and certain smaller tenancies related to our Village East property and our former railroad operations. Our Q4 2021 global real estate revenue decreased by 7% to $2.8 million compared to Q4 2020. And we reported a Q4 2021 operating loss of $1.4 million, which increased 45% over the fourth quarter of 2020. The increase in the fourth quarter operating loss was driven by property costs related to 44 Union Square, which had been capitalized in the past, but which with the construction completion must now be expensed and the start of related depreciation. These results also reflected a decrease in property rental income in Australia due to the sale of our Auburn Redyard center during the second quarter. Our Australian revenue decreased by 27% to $1.9 million in Q4 2021 compared to the fourth quarter of 2020, primarily due to the sale of Auburn Redyard. In New Zealand, our Q4 2021 real estate revenues remained relatively flat. There were no COVID-related rent abatements provided to any third-party tenants during the fourth quarter of 2021. In the U.S., our Q4 2021 real estate revenue increased by $400,000 to $700,000 due to an increase in licensing revenue related to public performances being held again at our Minetta Lane and Orpheum off-Broadway theaters in New York City. Our global real estate revenues for the year ended December 31, 2021, decreased by $200,000 to $12.8 million compared to 2020. Andrzej reported an operating loss of $5.4 million, which increased by $2.9 million over the year ended December 31, 2020. These results were primarily due to increased property carrying costs related to 44 units Square, again, which have been capitalized in the past, as well as the commencement of depreciation for this property and a decrease in property rental income in Australia related to the monetization of Auburn Redyard. These results were partially offset by the reopening of our live theaters as well as rent received from our Culver City tenant. We received a specific question about our Cannon Park asset. Our Cannon Park occupancy rate decreased from December 31, 2020. Disappointingly, despite our efforts, one sizable restaurant tenant failed to survive the pandemic. We're working to relet that space right now. But through 2021, our property team entered a few new leases in Cannon Park and the property level cash flow at Cannon Park increased despite the vacancy as a result of that new 2021 leasing activity and improved trading and percentage rent payments. In 2022, we anticipate completing a reasonably priced and targeted upgrade to enhance our common areas. And in the next few years, we're targeting a full upgrade of the Reading Cinema, which serves as an anchor for Cannon Park. During Q4 of 2021, our global management teams continued to work on the development of our 2 active real estate projects, 44 Union Square in New York and our Wellington assets including Courtenay Central in New Zealand. As I mentioned earlier, we are pleased to report that we signed a multiyear lease with a leading national retailer for 3 levels at 44 Union Square. The newly redeveloped historic Tammany Hall that sits prominently at the intersection of 17th Street and Union Square East in Manhattan and serves as the iconic and monumental Northeast anchor to Union Square Park. We expect to start building out our new tenant space during Q2 of 2022 with a free rent period burning off in Q4 of 2022. We also anticipate completing white box improvements on certain upper floors, so as to enhance leasing efforts and to be able to use such pace for special events and other interim uses pending a long-term lease sign-up. Funds for further construction activities at this location are being provided by drawdowns on our existing $55 million credit facility secured by that property. Reading and its consultant team, including Architects BKSK, developed the former Tammany Hall to celebrate its historic significance, while giving it new life as a spectacular new modern office and retail building. Recent accolades that 44 Union Square have received include the 2021 Design Award of Honor in the Renovation, Restoration and Adaptive Re-use category by the Society of American Registered Architects; the 2021 1st Place Addition Award by Retrofit Magazine; the 2021 Architecture and Collaboration Popular Choice Winner and the Architecture and Collaboration Jury Winner by the Architizer A+ Awards. And in 2022, the American Council of Engineering Diamond Award for the Building Technology Systems of Adaptive Re-use of a New York Landmark. The Midtown South Submarket is showing signs of improvement, and we look forward to completing the leasing of the remaining upper 4 levels of the building with the help of our new exclusive leasing broker, CBRE. As the market recovers and potential tenants begin to relook at space in New York City, CBRE is completing their new marketing campaign, which includes the positioning as a private headquarters opportunity. We believe that our building offers potential tenants certain unique attributes given its proximity to the Union Square transportation hub, the brandable identity of the building and the ability of a tenant to control its environment through a private entrance off of 17th Street. Turning to our assets in Wellington, New Zealand. Through various subsidiaries, we currently own the existing Courtenay Central building, which houses our Reading Cinemas that's still temporary closed for seismic reasons, and 3 other parcels on Tory Street, Wakefield Street and Taranaki Street, again, held in separate subsidiaries. Together, these 4 parcels comprise approximately 3.7 acres of land located in the heart of Wellington. In so far as we can determine from publicly available information considered on an aggregate basis, this accumulation constitutes, in terms of land area, one of the largest redevelopment opportunities in Wellington. Through 2021, we focused on progressing our strategies to unlock the value in these 4 Wellington properties. On April 27, 2021, we received the final approved car park resource consents from the Wellington City Council, which provided us with 15 years of on-grade parking rights for the Wakefield and Tory properties. As part of these consents, we agreed to public space activations at the edges of these properties. We continue to be opportunistic to take advantage of revenue-generating opportunities that don't compromise our flexibility for further property enhancement. For example, we recently leased a part of the Wakefield property for the installation of a large exterior digital sign. And we continued our discussions with Countdown regarding the potential development of a grocery store offering as part of the redevelopment. I'll finish by noting that as we regain our footing in our cinema divisions and continue to solidify our foundation, we believe our retained real estate assets, 44 Union Square; the Cinema 123 in New York; our assets in Wellington, New Zealand; Newmarket Village in Brisbane; Cannon Park in Townsville; the Belmont Common in Western Australia; and our Viaduct properties in the Arts District of Philadelphia all continue to offer substantial opportunities to create future long-term value for our stockholders. That wraps up my business overview for the full year and the Q4 2021 results. But before I turn it over to Gilbert for a financial review, I wanted to say on behalf of Margaret, our Board and myself, we again want to extend our sincerest appreciation to the Global Reading's team. I feel like we can't say it enough, because of the dedication of our executives and employees, who have worked nonstop since March of 2020, Reading has been able to successfully navigate the pandemic. Your dedication and hard work, particularly over the last 2 years, has been instrumental in sustaining our company through these difficult times. With that, I'll turn it over to Gilbert.
Gilbert Avanes: Thank you, Ellen. Consolidated revenue for the quarter ended December 31, 2021, increased by $34.9 million to $49.9 million when compared to the same period in the prior year. For the year ended December 31, 2021, revenue increased by $61.2 million to $139.1 million for the year ended December 31, 2020. These increases were primarily driven by fewer mandated closures in 2021 compared to 2020, and the release of several major films in 2021, which collectively led to an increase in attendance compared to 2020. Net income attributable to Reading International, Inc. for the quarter ended December 31, 2020, increased by $17.8 million to $0.3 million when compared to the same period in prior year. Basic earnings per share increased by $0.82 to $0.02 for the quarter ended December 31, 2021, compared to the quarter ended December 31, 2020. These improved results are due large part to the reopening of most of our cinema portfolio and the easing of occupancy restrictions since the initial COVID-19 shutdowns, together with successful release of certain tentpole movies from the Hollywood studios during the fourth quarter of 2021. For the year ended 2021, net income attributable to Reading International increased by $97.1 million to $31.9 million compared to the same period in prior year. Basic earnings per share for the year ended 2021 increased by $4.46 to $1.46 compared to the year ended 2020. These increases were largely due to the operations of the majority of our cinema portfolio, together with the successful release of certain tentpoles during 2021 and the gain on sale from the strategic asset monetization. Non-segment G&A expense for the quarter ended December 31, 2021, and year-ended December 31, 2021, increased by $3 million and $3.7 million to $4.6 million and $16.6 million, respectively, compared to the same period in prior year. This increase is due principally to a return to accrual of executive bonuses for 2021 and to nonrecurring income in 2020 related to the $0.8 million judgment in our favor in the James Cotter, Jr., derivative litigation. For the quarter of 2021, income tax benefit increased by $6.5 million to $6.4 million compared to the equivalent prior year period. Conversely, we experienced an income tax expense of $5.9 million for the year ended December 31, 2021, increased by $10.9 million when compared to the same period in prior year. The change between 2020 and 2021 was mainly due to income tax from monetization of our assets. For the fourth quarter of 2021, our adjusted EBITDA increased by $10.6 million compared to the same prior year period to $2.8 million. For the year ended December 31, 2021, our adjusted EBITDA increased by $113.1 million to an adjusted EBITDA of $74.2 million compared to the year ended December 31, 2020. These increases were primarily the result of our gain on sale of real estate assets. Shifting to cash flow. For the year ended December 31, 2021, net cash used in operating activities decreased by $16.7 million to net cash use of $13.5 million when compared to same prior year period. This was primarily driven by the improved trading performance. Cash provided by investing activities during the year ended December 31, 2021, increased significantly by $148.4 million to $129.6 million when compared to the same period in 2020. This increase was primarily due to the asset monetization described herein. Cash used in financing activities during the year ended December 31, 2021, was $50.3 million, which increased by $109.6 million. This increase was primarily due to the following activities. In the second quarter of 2021, we refinanced the 44 Union Square with a new $55 million facility on which we drew down $43 million with Emerald Creek Capital. In November 2021, we repaid and retired our $5 million line of credit with Bank of America. In June, we repaid $15.7 million of our revolving corporate market loan facility with NAB using a portion of our proceeds of our monetization of Auburn Redyard, permanently reducing the availability under the line. Throughout 2021, we repaid $11.7 million on our Bank of America revolving credit facility used to finance our U.S. cinema operations, bringing the outstanding balance to $39.5 million. And in November 2021, we also restructured the facility into a term loan. Throughout 2021, we repaid $12.5 million of our Westpac revolving facility, permanently reducing the funding available. Turning now to our financial position. Our total assets on December 31, 2021, were $687.7 million compared to $690.2 million on December 31, 2020. This decrease was primarily driven by a $56.4 million increase in cash and cash equivalent primarily due to the monetization of $141.9 million of real estate assets during 2021, offset by a decrease in land and property held for sale and net operating property due to sale of our assets. As of December 31, 2021, our total outstanding borrowings were $236.9 million compared to $285 million on December 31, 2020. Our cash and cash equivalents as of December 31, 2021, were $83.3 million, which included approximately $10.9 million in the U.S., $49.5 million in Australia and $22.9 million in New Zealand. Throughout 2021, as our cinemas have reopened, the cinema operations and the monetization of certain real estate assets funded our ability to pay down debt, thereby in some places permanently reducing our loan amounts. In November, we repaid and retired our $5 million line of credit with Bank of America. In June, we repaid $15.7 million of our revolving corporate market loan facility with NAB. Throughout 2021, we repaid $11.7 million on our Bank of America revolving credit facility, which brought the outstanding balance to $39.4 million, and $12.5 million of our Westpac revolving facility, which permanently reduced the funding available under these facilities. Further, to address the impact of COVID-19 on our business, we have successfully sought and obtained certain modification to our loan agreement with Bank of America, NAB and Westpac. The loan modifications include changes to some of the covenant compliance terms and waivers of certain covenant testing period. We are currently in compliance with all our loan covenants as so modified. To date, it has not been necessary for us to seek modifications or waivers with respect to our other loan agreements as we continue to be in compliance with the terms of such loans agreement without the need for any such modifications or waivers. We believe that our lenders understand that certain situations relating to the COVID-19 pandemic is not our making, that we are doing everything we can to deliver on our strategic priorities and that we have good relationship with our lenders. During the fourth quarter of 2021, we have obtained the following: on November 2, 2021, NAB modified our fixed charge coverage ratio and leverage ratio covenants, reducing the measurement requirements and in some instances, removing the requirements to test certain covenants. On November 8, 2021, we amended our credit agreement with Bank of America. The new amendment replaces all of the required covenants with a single liquidity covenant, and the loan has now been converted into a term loan with a scheduled repayment maturing on March 6, 2023. On November 8, 2021, we repaid in full and retired our Bank of America line of credit. On December 14, 2021, Westpac waived the requirement to test certain covenant as of December 31, 2021. As we continue to focus on preserving our liquidity, no shares were purchased during the year ended December 31, 2021, and our stock repurchase program has and will likely continue to take a lower capital allocation priority for the foreseeable future. With that, I will now turn it over to Andrzej.
A - Andrzej Matyczynski: Thanks, Gilbert. We'll now try and answer some additional questions that were posed by our shareholders. But first, I'd like to thank our stockholders for forwarding questions to our Investor Relations e-mail. In addition to addressing many of your questions in the prepared remarks from Ellen and Gilbert, we've selected a few additional questions as usual to offer additional insights from management. The first question asked, if we could comment any further on the settlement with the Cotter family from February 11, 2022. I'll handle this answer. The disclosures that we made regarding a potential settlement of litigation relating to the disposition of the estate of James J. Cotter, Sr., can be found in the company's recent 10-K filing and also in recent Schedule 13D amendment filings by Ellen Cotter and Margaret Cotter in their capacities as co-executives and co-trustees of the James J. Cotter Estate and Trust and also in their individual capacities. We refer you to these disclosures with respect of this matter. The next question was more operational, regarding subscription programs, and could they be integrated within the chain's PVOD streaming platforms like Angelika Anywhere, creating a mini Netflix? What thought have you given to establishing a subscription plan in general for Reading across your geographic presence? If you decided to pursue an opportunity like this, would you plan to integrate such a program with Angelika Anywhere or other streaming offerings? If not, why do you feel such a plan won't work for Reading? Ellen?
Ellen Cotter: Within a few weeks after the end of Q1 2022, we'll be launching our first Angelika membership program in the United States. On launch, the program will be free to join. It'll offer a loyalty component. Members can earn rewards per dollar spent, and it will offer various savings and screening experiences for its members. And in an effort to foster audiences for Specialty Films and Angelika Anywhere, we'll offer our Angelika members occasional free downloads on Angelika Anywhere that will be cross-promoted with certain films playing in our brick-and-mortar Angelika venues.
Andrzej Matyczynski: Thanks, Ellen. Gilbert, we have a question for you. We have 2 income taxes payable on the balance sheet. Is that money you envisioned will be paid? Or will the NOLs largely offset?
Gilbert Avanes: The 2 income taxes payable on the balance sheet are related to tax liabilities in Australia and New Zealand. These liabilities will be cash settled when they are due. Our NOLs in the U.S. is unaffected by the income tax payable on the balance sheet.
Andrzej Matyczynski: Thanks again, Gilbert. How active is Reading in evaluating cinema acquisitions? Are there any particular geographies you prefer Reading look for a cinema or a chain acquisition. Ellen?
Ellen Cotter: Pre-COVID, we evaluated cinema acquisitions in the U.S. and in Australia and New Zealand. Historically, the margins have been more compelling for us in our international markets. At the moment, we're evaluating a small international cinema acquisition. As the impacts of COVID-19 on the industry continue to weaken, we continue to focus our operational and financial performance and remain firmly committed to only pursuing acquisitions that fit within our portfolio and are right for us in terms of price and lease exposure.
Andrzej Matyczynski: Thanks, Ellen. Our next question, was the $3.7 million increase in general and administrative expense to $16.6 million relating to the payment of bonuses in 2021, a cumulative catch-up payment to address that no senior management officer bonuses were paid related to years 2019 or 2020? Or was it reflective of 2021's operating performance and an indication of a continued high level of G&A costs in 2022 as operating performance undoubtedly will be improved from 2021 from general box office industry rebound? Gilbert?
Gilbert Avanes: The increase of $3.7 million in non-segment G&A expense is primarily due to a reversal of accrual in 2020 for 2019 and 2020 executive bonuses. Also, 2020 reflects government wage subsidies received in Australia and New Zealand. In 2021, we resumed accruing for executive bonuses. And during Q3 2021, the Compensation Committee paid out to the senior management a partial bonus for performance during the first half of 2021. Responding specifically to the reference to the catch-up payment, the increase is not due to any cumulative catch-up payments. Our independent Compensation and Stock Option Committee has not approved and has no intention of approving any catch-up payments. Our senior management as well as many of our employees experienced reduction in bonus and other compensation during COVID-impacted period compared to prior COVID period and has continued to focus on doing what it takes to protect the future of the company.
Andrzej Matyczynski: Thanks, Gilbert. And we turn to our last question, which Ellen will field, regarding our Newmarket office building and the occupancy, which is way down from the 2020 year-end. What are efforts and timing milestones to reverse this trend? Ellen?
Ellen Cotter: Through the pandemic, one of our office tenants had a lease coming due and elected to vacate because of circumstances tied to the COVID-19 pandemic. Since that time, we relocated the remaining tenants in the building to accommodate their needs and to avoid increased landlord work costs. With this repositioning, we created 1 full floor that remains vacant today and is available for lease. We're currently marketing the space and hope to attract a single user, but we'll consider multiple tenants.
Andrzej Matyczynski: Thanks, Ellen. And that brings the end of our question-and-answer session and also the conclusion of the call. We appreciate you listening to the call today. We thank you for your attention and wish everyone good health and safety.